Operator: Ladies and gentlemen, thank you for standing by and welcome to the BEP First Quarter 2021 Results Conference Call and Webcast.  Please be advised that today’s conference may be recorded.  It is now my pleasure to introduce CEO Connor Teskey
Connor Teskey: Thank you, operator. Good morning, everyone and thank you for joining us for our First Quarter 2021 Conference Call. Before we begin, we would like to remind you that a copy of our news release, investor supplement and letter to unitholders can be found on our website. We would also like to remind you that we may make forward-looking statements on this call. These statements are subject to known and unknown risks, and our future results may differ materially. For more information, you are encouraged to review our regulatory filings available on SEDAR, EDGAR and our website.
Wyatt Hartley: Thank you, Connor. During the first quarter, we generated FFO of $242 million or $0.38 per unit, reflecting solid performance as their operations benefited from strong asset availability, growth and efficiency initiatives. On a normalized basis, our per unit results were up 21% year-over-year with an increasingly diversified portfolio of operating assets, limited concentration risk with counterparties and a long-term contract profile, our cash-flows are highly resilient. Overall generation for the quarter was marginally below the long-term average driven largely by drier conditions in New York. We expect this variability and therefore manage our business for the long-term further. We are continuously diversifying the business, this increasingly mitigate exposure to any single resource market or counterparty, and our variability becomes less and less every year. During the quarter, our hydro electric segment delivered FFO of $170 million across this portfolio, we continue to focus on securing contracts, the value, the uniqueness of our fleet as a generator of dispatchable, clean electricity and ancillary services.
Operator: Thank you. . Our first question comes from the line of Rob Hope with Scotiabank.
Rob Hope: Good morning, everyone. First question is on the Baltic project. So we see that in your project development backlog, you do have some onshore stuff with Poland. But what do you think about the timing in terms of the Baltic off-shore projects there, as well as you know, how do you see your ownership in Polenergia kind of trending over time?
Connor Teskey: Thanks, Rob. Great question. So we made an investment in Polenergia this last quarter and the structure of our investment is together with our partner. We own 75% of the company. Well, Brookfield owns 23%. The reason why we like this opportunity is the tremendous growth prospects for Polenergia. And our thesis of making this investment, is we see ourselves as both an operating partner and a capital provider to that business, as it looks to build out its development pipeline. And Rob you made a great point. There, there are two components to that development pipeline. There is the very large offshore development pipeline three gigawatts across three large projects. We are hopeful to receive positive feedback from the government on CFDs in the coming months, at which point we will look to start to see those projects advanced and built out over the next couple of years. But what shouldn't be overlooked within Polenergia is there onshore development and growth prospects as we'll. They have construction and development pipeline across both wind and solar and have been very active participants in the recent auctions in the country and in the last auction, in fact, they bid three projects in all three projects were awarded subsidies under the new feed in tariffs. So we are very, very encouraged about the growth prospects for that business. And we very much intend to be a capital provider to that company to fund that growth going forward and alongside our partner. We would expect our, our ownership interest to, to creep up over time.
Rob Hope: All right. That's helpful. Okay. And then other side of the world, you know, just want to get some perspective on how you're looking at the opportunities in India. You've had boots on the ground for a number of years there. It seems like you are in early days of starting to put capital to work there, where in your mind are we in kind of that investment cycle? Are you fully confident in that jurisdiction that you could put some larger capital to work?
Connor Teskey: Certainly. And it's a great question. And it's important right now to, to separate call it the, the, our, our long-term strategy in India versus what's happening on the ground right now, right now, our focus is just about keeping our, our people and our operations safe as, as that jurisdiction works through the peak of, of COVID. From a longer-term perspective, we entered the Indian market in 2017 and this is one of the largest and fastest growing renewables markets in the region. And what we've done in India is very similar to what we do whenever we enter a new region; we spend some time building out our capabilities, our boots on the ground operations, such that we have tremendous flexibility to invest across the opportunity set in that region. And what we are seeing now is a very steady pipeline of opportunities where we think we can incrementally add to our portfolio at very attractive risk adjusted returns. I would say we do recognize it. It is a country with it that is developing. And therefore we do not extend an intend to deploy a very meaningful portion of Brookfield renewables capital in that jurisdiction. But we do absolutely intend to grow our platform on a continuous basis and our pipeline in the region romaine remains very strong. I think I'll leave it there.
Rob Hope: All right. I appreciate the color. Thank you.
Operator: Your next question comes from the line of Mark Strauss with JP Morgan.
Mark Strauss: Yeah. Good morning. Thank you very much for taking our question. I'm just curious in the grand scheme of things you know, longer term, I think the supply chain issues ultimately resolve themselves but just kind of curious, how you are managing, you know, rising input costs as you're looking at new projects. Are you, are you locking in some of those pricing now, or are you looking to, to kind of float and maybe lock in pricing in the future? And maybe talk about the, the, the, the pricing environment and the, the spreads that you're saying kind of the return on return on equity return on investments whatever the best way of looking at it is, are you seeing any squeeze there? Thank you.
Wyatt Hartley: Certainly. Thanks, Mark. Appreciate the question. Maybe to start with procurement perhaps it's helpful to explain how we look to procure equipment for our global construction and development activities. And one thing we've spent a lot of time on over the last several years is centralizing our procurement functions around the world, such that whenever we are looking to acquire equipment or services to support any of our projects, we're, we're not looking to procure those products and services on a project by project basis, but we rather do it with the economies of scale of the entire Brookfield renewable platform. We've spent some time internally at dedicating people to procurement, to certain products, whether it be wind turbines or solar panels in through that process, we are ensuring that one, we would like to think we are getting some of the best prices around the world, because one we're always leveraging our economies of scale, get full discounts. And then two, we are increasingly building these very strong relationships with both equipment suppliers and service providers, and within service providers, I include  O&M providers, EPC providers. We're always ensuring that we're getting the best terms on the contracts that support those services. And as a result of that, when there are things like some of the short-term supply shortages that the industry has seen over the last few months, we often find that the suppliers work with us very collaboratively and view us as a call it tier one partner in somebody they want to support and not disrupt our operations. So I would say the centralization of our procurement is really what we use to, to ensure that we are one getting the best prices, but also ensuring that our business isn't interrupted by any short-term disturbances in the supply chain. It, the second part of your question was around returns and I think, are we seeing any returns compression? And the answer to that is, are we seeing returns compression in certain types of assets in certain types of sales processes, processes within the renewable power space around the world? The answer is absolutely yes. But those aren't the investments that Brookfield renewable has ever targeted in the past or is looking to target today. We look for unique situations where we can bring something to the table. We can differentiate ourselves using something other than cost of capital that can be our re-powering or development capabilities. That can be our corporate contracting capabilities. That can be our size, that can be our global reach. And when it comes to identifying and sourcing opportunities where we can differentiate ourselves, we're not seeing any returns compression from that perspective we're very much committed to the same 12% to 15% return targets we've had for many years at this point and see no reason to adjust those return targets in the current market environment.
Mark Strauss: Makes sense. That's it for me?
Operator: Your next question comes from the line of Mark Jarvi with CIBC Capital Markets.
Mark Jarvi: Thanks. Good morning, everyone. Just want to touch on the asset sales announcements last couple of months. Since it's buyers being strategic and not necessarily knew the probably you did the lowest cost of capital players you talked about in the past. May be just walk us in terms of may be your views on post PPA, values that you don't see where they might see something and you think that buyers in market are taking more boist use on long-term fundamentals, may be just treat your differences in terms of value if you sell those assets today.
Connor Teskey: Thanks, Mark. We might perhaps see the situation a little bit differently. It was interesting to us that both of our significant asset sales in the last quarter went too strategic. But what we would say is we ran robust sales processes in both these scenarios and those strategics outbid those low-cost of capital financial buyers that have been the winning bidders for these types of assets quite regularly over the last couple of years. And I think what we were seeing there is, the assets that we were selling in both cases fit a strategic goal of those counterparties where they saw significant strategic value in the assets that maybe we did not see and not allowed them to not only acquire the assets of the value that is greater than what we could earn by holding the assets that's always our threshold for selling, but it also allowed them to pay a value that was greater than some of the more recent competition from those low-cost of capital buyers. So, I would say that it was more of the strategic benefit of both those portfolios that drove those buyers to pay the price that may have been the winner.
Mark Jarvi: Got it. So based on the comments, you don't anticipate seeing a material shift in terms of who is typically showing up in the processes and who is likely to be buyers of your assets and who is recycling going forward.
Connor Teskey: Not particularly, certainly not as a result of these two discrete sales. We don't see any meaningful trend there at this point.
Mark Jarvi: Okay. And then Wyatt, in one of your sort of last comments you made a remark about providing capital and solutions help the decarbonise, maybe just picking up the word on provide capital as opposed to invest capital. Is there anything to be read through there in terms of what you're looking at different ways to help other companies or if like the TransAlta type investment and you can just help us, see help us, that's sort of foreshadowing certain type of investments going forward.
Connor Teskey: Yes look, Mark, I think you hit on it exactly with the trend, the TA transaction where in effect what we did through that transaction was on a structured basis. We acquired a piece of the hydro that allowed TA to use that capital to execute a coal-to-gas conversion, which meaningfully is decarbonizing their business. So our, what our focus has always been as a deploy our capital for value is working with partners and being flexible around how we work with them to provide them with the solution that best works for their needs, and so that can comes in various ways and one of those is through transactions like the TA 1, where we in effect we're a provider of capital as I mentioned to help with the decarbonization trend and and we expect looking forward that the number of transactions we do in this space will increase and our flexibility to do that will be one of the things that allows us to to deploy capital for value.
Mark Jarvi: And are you seeing opportunities today as are you working on things like that, but I'm trying to get too far ahead of it, but is that's something that we'll see more in the near term or is that something that you consider that can play over the next couple of years?
Connor Teskey: Well, we certainly see this as a very broad long-term trends that-- we think it's going to drive significant growth in our business for the next several years. And really what we're focusing on here is, if you look at, call it the power generation stacks of utilities or independent power producers over the next 5, 10,15, 20 years, there needs to be and very large transition away from carbon intensive forms of power production to cleaner forms of power production and on the clean side that is primarily renewables. And many of those independent power producers or utilities through no fault of their own don't necessarily have the expertise or renewables development capabilities or the capital to make those transitions on their own and therefore are looking for a sponsor or a capital provider or an operating partner and we view ourselves as being very well positioned to participate in that transition. We think it's both, Mark, to answer your question, we think it's both a near-term and medium term and a long-term opportunity.
Operator: Your next question comes from the line of Nelson Ng with RBC Capital Markets.
Nelson Ng: So my first question relates to Colombia, you have a small 32 megawatt wind project there. I think you've been in Colombia for, I think just over 5 years, and I don't think you've been that active on the development side in that market in the past, but are things changing over there and like, are you seeing more opportunities on the wind and solar side?
Connor Teskey: Certainly and maybe, it's a great question, Nelson and maybe just to take a step back, not even specific the wind or solar, we're just seeing more growth opportunities. When we bought Isagen, you would have heard us for many years talk about our key objectives were to reduce cost in that business and extend the contract profile of that very large hydro portfolio and the teams done a tremendous job of doing that and continues to execute on those initiatives. But over the last couple of years, we've increasingly looked for more growth opportunities around that Colombian portfolio. There is the wind ones you've mentioned, we're also pursuing some solar opportunities in the region and in the last quarter, we closed on the Bolt-on of a couple small hydros to the portfolio. So I would say it's more broadly we are now seeing more growth opportunities across the spectrum of the classes to bolt-on to that portfolio.
Nelson Ng: Okay, thanks, that's great color. And then just a quick modeling question, maybe it's for Wyatt. So this quarter you recognized some gains for the Scottish development. I'm just wondering, will you be recognizing gains for the rest of the UK assets or for the sale of the US wind assets in the future quarter? I just wasn't too sure which asset sales would result in gains that are included in EBITDA or your CAFD calculations. Thanks.
Connor Teskey: Yes, I know, that's a good question, Nelson. And so what was reflected there the gain on our development and really the reason we're including those in to FFO is that really, we've owned those development assets 2015, as I mentioned, and over the last six years we've been working to bring those, to contract them to get them permitted et cetera. And then once we've done that, we had a low-cost  buyer who came in and was willing to buy them and take construction with them. So the value that we created in terms of that portfolio through doing those activity was really done around bringing that - those developing assets forwarded, so as a result, we include the value that we created in our FFO because if we didn't, none of that value we created whatever impact our cash flow. And you'll see, if you look back in the prior year in a similar type quantum we recognized gains on some of our development assets in our solar developer X-Elio et cetera. So for us, it's really the pushing into FFO is focused on those development assets, and it's something that we expect to kind of routinely more too, but it may be lumpy by quarter but on an annual basis would you expect to when it makes sense to monetize those type of development assets and as a result recognized them in to FFO.
Nelson Ng: Okay. And if you sell operating assets, they won't be recognized in?
Connor Teskey: No.  our normal course, we don't include those.
Nelson Ng: Perfect, thanks. I'll get back in the queue.
Operator: And our next question comes from the line of Sean Stewart with TD Securities.
Sean Stewart: A couple of questions. Connor, I wanted to circle back on corporate contract opportunities and wondering if you can comment on the regions where you're seeing the best opportunities to sign corporate PPAs and how that aligns that opportunity set aligns with where your uncontracted generations expected to rise in your existing portfolio over the next few years. Can you speak to the alignment between those two things?
Connor Teskey: Yes, certainly. Sean, it's perhaps a helpful opportunity to talk about a much broader trend that we've seen. It's not that long ago, maybe two or three years ago that we were really focused on building out our power contracting, corporate contracting capabilities around the world. Two or three years ago we celebrated every PPA that we got because it really seems that there were a large number of development projects chasing a smaller number of corporate PPAs. And in 18 or 24 months, we've seen a massive shift in the industry, the pace of that shift is different by markets, but now we are really seeing a large amount of corporate PPAs available and if you have high quality ready-to-build assets, those are now the scarce components of that equation. And therefore we are seeing a dramatic increase in that corporate contracting and we think it really all speaks to increasing decarbonization trends, increasing demand for corporates to procure green power as part of their own, call it, and ESG or decarbonization initiatives. Where we are seeing the greatest amount of activity within our portfolio, it's certainly in the United States, Europe and Brazil. Those are the three markets where we are seeing a tremendous acceleration in the amount of contracting we've done. To give an anecdote, over the last 18 months, we've acquired four ready-to-build projects in Brazil and at this point, three of those projects are fully contracted now with the only one not fully contracted being the one we acquired just last quarter. So, we think this speaks to the increasing demand of corporates and it's a trend we don't think is going to slow down. And as a result, we're looking to pull forward more of our development pipeline as fast as possible to satisfy this increasing demand in particular in North America and Europe.
Sean Stewart: Thanks for that detail. One follow-up question on India. There were press reports a couple of months ago that Brookfield was negotiating a potential acquisition is solar portfolio in India. I think it was about 1.2 gigawatts. Any context on that deal specifically and you touched on the pandemic and how that affects your short-term aspirations in India, but can you just speak more broadly to how this potentially affects your ability to conduct due diligence on growth initiatives in the country?
Connor Teskey: Yes, certainly. So, we won't speak to any specific transactions individually, but what we would say is we have a domestic team in India, fully integrated that conducts all our due diligence whenever we pursue acquisitions in that market. And up until the recent escalation of COVID in that region, that team was actively doing due diligence and pursuing opportunities in that space and we would very much expect them to restart those activities when they can be done on a faith basis. What I would say is, when it comes to our capital deployment strategies, we take a long-term view. These are long-term investments, these are long-term assets. The any disruption by COVID is not going to change our long-term view of the attractiveness of that market, but rather is only going to change our timelines because our priority in a situation like this one is the safety of our people. But I would say, the current COVID situation is not going to change our long-term ambitions in the country.
Operator: Your next question comes from the line of Frederic Bastien with Raymond James.
Frederic Bastien: Evidently, based on the several investments you closed or advanced in the quarter, you have a lot of irons in the fire. Assuming you could invest in any technology at exactly the same returns, wondering which ones you would rank highest on your wish list.
Connor Teskey: Yes, certainly. So all things being equal. We target the ones that are the easiest and simplest to operate. And right now, all things being equal, Solar has a lot of benefits, it's modular, it's easy to fix, it doesn't require working at heights, the pieces can be transported very easily in containers as opposed to unique trucks and ships. But that being said, we are agnostic across technology and we'll go wherever we see the best risk adjusted returns because we are very comfortable owning, operating, developing, acquiring any of the major technologies. The flexibility of our platform and the ability to invest across technologies has been a differentiating factor and we think it'll continue to be in the future. So we don't generally pick favorites when it comes to technology.
Wyatt Hartley: Frederic, I would actually add. We are focused on being diversified because as Connor mentioned, as an example, corporate contracting is becoming more abundant and one of the things that being diversified does is, it allows us to tailor solutions to be a preferred partner in those instances and so that the ability to bring a multi-technology, a multi-region solution to those partners is viewed very value please. So our focus is actually to remain diversified the way we are.
Frederic Bastien: Okay. Just a quick follow-up on solar, how far off, do you believe you are from becoming, wouldn't say mature but at scale, I mean obviously in North America I know you're pretty dominant but wondering how much more runway there is for your solar business.
Connor Teskey: Tremendous. We would certainly suggest that we are already at scale on a global basis, our solar portfolio certainly puts us in the top tier of owners and operators of solar globally. But given the rapid growth in renewables more broadly, but the fastest technology being solar, we see no limitations to the amount of growth that we could pursue in that technology. We expect to participate in that growth very materially in the coming years.
Operator: And our next question comes from the line of Rupert Merer with National Bank.
Rupert Merer: Good morning. Connor, in the quarter you agreed to invest $410 million net to BEP. I believe that's faster than your target run rate and this morning, you highlighted the acceleration of the renewable energy market, plans to pull forward developments. So with that, it sounds like you could increase your target investment rate. So question is how much do you think you can invest this year and what the run rate of investment do you think you, you could sustain in the future or maybe you would need to sustain in the future to keep up with the market?
Connor Teskey: It's a great question and maybe if we think more large scale. For the last several years we've been incrementally increasing our equity growth deployment target and it would probably be incorrect for us to look at any one quarter and run rate it as a proxy. Some of the large-scale transactions we do are somewhat lumpy in nature and we were very active in the latter part of 2020 and a number of those closed in Q1. I would say we remain highly committed to our current guidance which is $800 to a billion dollars of equity deployment net to BEP per year. And if the growth rate in the industry continues, the way we expect, I think we'll probably continue to incrementally increase that year-on-year going forward.
Rupert Merer: Okay, great thanks and on recycling initiatives, you've announced a couple recently. Do you have the capital you need now for the foreseeable future, or are there any other processes underway to recycle capital and as part of this question, how do you see the relative cost of new capital from recycling versus new equity issuance?
Wyatt Hartley: Sure. Yes Rupert. I'll take that one. So, look we, as we've been discussing for a number of years now, capital recycling is something that we very routinely do it is very much value-driven in the sense that as we identify businesses that have been derisked, that are mature, that is going to be valued by, very highly by a low cost of capital buyer. For us it makes a lot of sense to monetize that and redeploy that into growth. Fundamentally, we have, as Connor just mentioned, our outlook for growth is very strong and so we-- for every capital that we sell, the proceeds we get from selling an asset, we definitely think that we will be able to deploy that into growth. We also have another, a number of other funding levers that we spoke about in the past. We-- to the extent, we maintain a strong investment-grade rating that to BP level, we can issue either corporate debt or preferred equity.You would have heard me mentioned in my prepared comments that in April, we issued $350 million of 4.58 fixed-rate perpetual money.That's a very attractive source of capital for us. So to the extent, we can issue more than that, while maintaining our strong investment-grade will do that. And then incrementally from a balance sheet perspective, we have a number of assets where we can, as a result of contracting initiatives or other things that are going on there is plenty of capital that we can raise that an investment-grade basis and redeploy those proceeds into growth. So from a funding perspective, we're feeling like we're in a very good position and fundamentally for us our equity, our shares, our units are most expensive source of capital. We're going to prudently source the cheapest source of capital we have, and it's going to be those other buckets that I mentioned. And really for us given that abundance of funding sources, we really think about our equity more to use on a strategic basis similar to the TerraForm Power, our transaction we completed in the prior year.
Operator: And our next question comes from the line of Anthony Crowdell with Mizuho.
Anthony Crowdell: Connor, just hopefully two quick ones. You talked about how the strategy is maybe looking at a stepping stone putting your foot in the water or tone of water and then building up, you spoke about in India, what do you think is the next stepping stone for Brookfield?
Connor Teskey: Yes, great question. I think our entry into offshore is an example of an entry into a space where we think we can expand going forward that's not so much a regional entry point, but rather a technological one. And the other thing that you'll see across our portfolio is we are always preparing ourselves to ensure that we're positioned for whatever the largest and most attractive growth opportunities are in the future. Increasingly we're seeing more opportunities in storage throughout our portfolio. Storage still has a little bit of a ways to go before it can be cost effective on a widespread basis, but as the cost curve is coming down, we're seeing more opportunities to deploy storage within our portfolio at attractive returns. So we see that becoming a potentially large and attractive investable space in, call it the short to medium term. And then, perhaps longer road, green hydrogen. And we continue to stay close to that space. Right now through our power contracting initiatives as opposed to actually investing in green hydrogen production, but we'll continue to monitor that space such that when it does become commercially viable on a wide scale basis, we can be a meaningful player in that factor.
Anthony Crowdell: Well, great. And then just lastly, and I apologize as I miscategorize this. When you were talking about India, you spoke about the company is putting capital they're putting to work, but you're not throwing like a deluge of capital, you're being very, I guess, constrained with it, given it's a developing country. Do you view all the developing countries in one or you're willing to spread-- you want to have more leverage to developing countries as long as-- I don't know if I'm clear on why I'm asking that question.
Connor Teskey: No, no, it's helpful. And it perhaps gives me an opportunity to clarify my earlier remarks. Today our business and traditionally our business has been, call it 75% plus developed countries and we very much expect that proportion to remain approximately consistent. So on a relative basis the vast majority of our existing asset base and the vast majority of our growth capital we expect to go into developed countries. Now that being said, given the size of our business that does allow for a very meaningful amounts of capital to be deployed into countries like India and we will pursue those opportunities when we think we are getting attractive returns and strong downside protection. We would very willingly deploy meaningful dollars in India. But I think the comment we were trying to make before is still see the vast majority of our business and the vast majority of our growth continuing to be in developed countries and developed regions.
Wyatt Hartley: And Anthony, maybe to add to that, as Connor mentioned, 25% or less of our business is in the emerging markets, it's historically been in that and looking forward it will stay that way. But one of the things we are incrementally doing with that pieces of the pie is diversifying it. So when we were first formed as BEP, it was around 25% of our business was emerging markets, but it was entirely Brazil, now we're across multiple countries that form emerging markets and we think that the benefit of further diversification in that piece of the pie is really beneficial.
Operator: Your next question comes from the line of Naji Baydoun with iA Capital Markets.
Naji Baydoun: I wanted to go back to the comments on the off shore wind scenario of markets, similar to your comments on solar that is expected to grow quite rapidly. Can you just give us your thoughts on sort of next target markets for you for offshore wind, what are some of the opportunities that you're seeing in that technology?
Connor Teskey: Certainly. So offshore wind, the most mature and the deepest market around the world is Europe and that's obviously where we've focused for our first investment. Now that being said, we made a comment that we've been monitoring offshore wind for several years now. We have been looking at opportunities all around the world. In Europe, in Asia Pac, more recently in the United States. I would say, we use the same approach when assessing those opportunities that we do anywhere else. Can we get a contract profile that we like? Can we bring something to the transaction that allows us to be differentiated, such that we don't need to compete on cost of capital? And if we find those situations in any of our core markets, we'd look to deploy capital into the offshore wind technology. So I would say we don't have a specific region in mind. I think some of the more recent announcements about decarbonization are going to drive tremendous growth in this space both in Europe and in the United States and we'll look at those opportunities and see if we can find situations where we think we can execute successfully.
Naji Baydoun: Okay. So it's all of the above approach. And just one last question from me, you also talked about accelerated build-out of your about in the pipeline. And at the same time, it seems like you're filling the top end of that's all quite rapidly as well. I'm just wondering if you can provide us more details on the 4.5 gigawatts of new capacity that you added to development pipeline this quarter, what markets that capacity and then maybe some timelines related to that development.
Connor Teskey: Sure. So maybe what I'll do is I'll talk about some of the strategy behind it. And then Wyatt can give you some of the breakdown of the additions we made to the pipeline. We've talked about how we've been enhancing and increasing our development capabilities in all of our target markets around the world and you know there is multiple components of that. There is the ability to take an existing development project and bring it through construction and through to our operations, which we have the capability to do in all of our major markets. But the other part of development is actually generating new development pipeline. Working on the ground to secure land, to secure permits, to fill that top end of the funnel. And while some of our more recent activities in some of our more recent successes have been in pulling through existing development pipeline through construction and through operations, what you're seeing now is our development capabilities really firing on all cylinders and growing organically their own development pipeline. On top of this, we are looking to secure development pipeline where we can, given the significant increase in corporate contracting on the other side that we can use to pull those projects through to operations, but maybe I'll hand to Wyatt to walk through where the increments came from.
Wyatt Hartley: Yes. So, Naji, what I would broadly say is there's probably no business in the world where we're not incrementally add into that development pipeline, but the largest drivers of the increase would be one in the US when we recently acquired in Oregon, that came with a 400-megawatt development pipeline. So that was added in incrementally on the distributed generation business that we closed in Q1 that we acquired from Exelon that came with another around 700 megawatts of a development pipeline. Additionally as Connor mentioned previously, one area where we're seeing a lot of opportunity for growth was in Polenergia, not so much, what we do see the value on the offshore but incrementally what was added in the quarter was on the some of the onshore stuff, PV solar and onshore wind and then finally on X-Elio our JV solar developer a global solar developer where, as Connor mentioned, we're just incrementally being able to secure part projects, a lot of those being in the US that are bolstering that development pipeline.
Naji Baydoun: Okay. Thank you, that's great color on the sourcing and the 4.5 gigawatts. That's all from me.
Operator: Your next question comes from the line of Matthew Taylor with Tudor Pickering Holt. Your line is now open.
Matthew Taylor: Yes, thanks here, just one question if I may. Thanks for squeezing me in here. I just wanted to go back to the corporate PPAs. So clearly there is massive interest to achieve. You're talking about potentially accelerating the development pipelines, but also two other pieces that are interesting that I wanted you to provide more color on is the potential cash flow accretion and then terms. What I mean by the cash flow accretion side is, it seems like when these assets are reaching the end of their original PPAs, the debt is generally paid off. So layering on a corporate PPA could actually be cash flow positive. So if you have any comments on that and then can you speak to the term of the contracts, you're seeing versus the original government-backed agreements across sectors?
Connor Teskey: Sure. Thanks, Matt. So maybe to break that into two pieces. The vast majority of the contracting we are doing, you're absolutely correct, it's for new assets, to pull new development, new projects out of the ground. But we are also seeing opportunities to use corporate contracting to extend the contract life of assets that are coming to the end of, call it, their initial contract which as you rightly pointed out in many cases is a government feed-in tariff. The decision, we always make at that point is a risk return decision. What price can we secure that contract that and the benefit of taking what would become a merchant cash flow and turning it into a contracted cash flow, is that cash flow off and then becomes readily financeable as well. And as a result we often do look to contract our assets when they come to the end of that an initial contracted life because of the financing impact it has that can be very accretive to the broader investment returns of an individual project or an individual investment, I think the second part of your question was just around the term of some of the contracts were seeing. We often hear almost a concern in some of the questions that government feed-in tariffs were long term, 15 or 20 years and corporate contracts are short-term. We haven't seen that too much in our business and if anything over the last few years, government tariffs have actually, in general, been shortening and corporate contracting has been lengthening in terms of contract. The vast majority of the corporate contracting we do is double-digit year tenors. In fact, I would say, of the contracts we signed in the quarter of the major material ones, I'd expect almost all of them were double-digit years in tenor. And if you look at some of our largest contracting initiatives, for example, the contracting of the ready-to-build assets that we've acquired in Brazil over the last 12 to 18 months, the terms on those contracts for 15 to 20 years. So, we haven't really seen a shortening of contract tenors as a result of the switch from feed-in tariffs to corporate contracts. We stay on top of that, because obviously term is very beneficial, just in terms of giving us visibility on our future cash flows, but also the same financing component we referenced that longer-term allows for more attractive and accretive financing.
Wyatt Hartley: Yes. And I'll just add two quick points to what Connor said on your point, Matt is one, you're exactly right where and we've been talking about this for a while and when we talk about some of the funding, sources we have for our growth is that we have just given the as wind and solar projects or even our hydro projects, you come off, wind and solar when they come off contract or an hydros, to the extent there merchant and we provide a contract that create a lot of potential for our finance because that cash flow becomes that much more financeable and so in regard to that being using that as a funding source, we have a tremendous amount of potential within our business. Incrementally, what I'd say is one thing we are focused on and every financing we do is we're getting part of the benefit of that post contract cash flow in our current finances where 5, 10 years ago, when you're financing wind and solar asset, it was effectively fully amortized over the contract life. What we've been, we did this with our hydro business starting to 15-20 years ago, but getting a recognitions for a value beyond that contract period, that's just enhances that the financing structure and optimize the finance, financing structure quite meaningfully and so increasingly, we're getting 20:30% full effect at the back end of our contract life on wind and solar and we'll continue to try and increase that and enhance the optimization of our financing structures, which will drive value over the long term. So we think your point is exactly right where that there is a lot of value, both within our existing business. But as we look forward and having our financing structures reflect the enhanced corporate contracting framework.
Operator: Thank you. And now I'll turn the call back over to CEO, Connor Teskey for any closing remarks.
Connor Teskey: Okay, great. As always, we want to thank everyone for their support. We look forward to updating you at the end of next quarter with our Q2 results. Have a good day and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.